Operator: Welcome to the Viad Corp Second Quarter Earnings Conference Call. All lines have been placed on a listen-only mode until the question-and-answer portion of today’s conference. (Operator Instructions) Today’s conference is being recorded. If you have any objections, you may disconnect. And now, I’d like to the conference over to Mr. Joe Diaz. Sir, you may begin.
Joe Diaz: Good morning and thank you for participating in the Viad Corp second quarter 2014 earnings conference call. I’d like to remind everyone that certain statements made during this call, which are not historical facts, may constitute forward-looking statements. Additional information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in Viad’s annual and quarterly reports filed with the SEC. During today’s call, we’ll refer to earnings press release, which is available on the Viad website at www.viad.com. Today, you’ll hear from Paul Dykstra, Viad’s Chairman, President and CEO; and Ellen Ingersoll, Viad’s Chief Financial Officer. Additionally, Steve Moster, President of Viad’s Marketing & Events Group will be available for comment during the question-and-answer session at the end of the call. With that, I would like to turn the call over to Paul Dykstra. Paul?
Paul B. Dykstra: Thanks, Joe, and thanks to all of you for joining us today. We greatly appreciate your continuing interest in Viad. We delivered strong financial results for the second quarter of 2014 and continued the momentum generated in the first quarter of the year. Total revenue for the quarter was $256.4 million, up 4.1% from the 2013 second quarter, and came in above the high end of our guidance. Segment operating income of $14.1 million was up 23.4% and near the high end of guidance range. All business groups posted strong year-on-year results. Marketing & Events Group second quarter revenue increased by $16.8 million or 3.1% to $226.3 million versus last year’s second quarter, despite negative show rotation of about $12 million. Segment operating income grew by 10% to $9 million and operating margin improved by 30 basis points compared to the second quarter of 2013. We are maintaining our focus to drive efficiencies as we work our way to our 2014 operating margin goal of 4%. U.S. segment revenue grew by 8.6% to $168.8 million, with segment operating income nearly doubling to $5.1 million versus the second quarter of last year. This growth was driven primarily by a 4.9% increase in base same-show revenue, new show wins and slight positive show rotation of approximately $1 million. The International segment of our Marketing & Events Group posted second quarter revenue of $63.4 million and segment operating income of $3.9 million. Excluding foreign exchange rate variances, segment revenue and operating income decreased by approximately $8.2 million and $1.8 million respectively. This was primarily driven by negative show rotation revenue of approximately $13 million, partially offset by new business wins. We produced a number of major trade shows during the second quarter, including the International Council of Shopping Centers RECon show, a global retail real estate convention that brings together more than 32,000 attendees and 1,000 exhibitors. This year’s show encompass all three halls of the Las Vegas Convention Center and exceeded one million square feet. Another major quarter event – second quarter event was the National Restaurant Associations Restaurant and Hotel/Motel show. The show occupied more than 600,000 square feet at Chicago’s McCormick Place and recorded 5.4% growth in square footage and 4.3% growth in exhibitors versus last year show. During the quarter, we were also successful in generating new business wins and extending relationships with existing customers. We signed a five year contract renewal produce the American Society of Cataract and Refractive Surgery Symposium. This client of 30 years selected GES once again due to our great team, high level of service, understanding of the show and the innovative solutions we bring to the table. We also signed several multi-million dollar contracts with various big brand corporate accounts in industries as varied as pharmaceutical, defense, telecom, consumer goods, and business services. This is a testament to GES’ ability to provide superior service and innovative solutions with a strategic approach that addresses each client’s unique objectives. Additionally, we continue to make positive strides with new wins internationally and in our AV business. Our recent audio-visual win was Solar Power International, which will be in Las Vegas, this October. GES will provide all audio-visual equipment and production for the event, including the general session, breakout rooms, exhibits and store management needs. We are very proud that GES continues to be recognized as one of the world’s leading live events providers. During the quarter J.D. Power recognized the GES National Service Center for call center customer satisfaction and excellence for six consecutive year. This achievement is a clear indication that a commitment to superior customer service is deeply ingrained in our culture. Our employees are the focal point of achieving these milestones and I extend my sincere appreciation to the National Service Center team on its well deserved certification. GES was also recognized for two projects by the American Business Awards, the nation’s premier business awards program. GES and its client, Dermablend, were awarded a Gold Stevie Award in the Marketing Campaign of the Year category. We also received a Silver Stevie Award for our very own Art and Science of Engagement brand repositioning campaign. These are record recognitions that acknowledge the creativity, passion and effectiveness that we provide our clients and not only advancing the efficacy of their brands, but then successfully positioning GES itself as a leading creative agency. I thank the entire GES team for their commitment to excellence in serving our clients. Moving onto the Travel & Recreation Group, second quarter revenue was $29.8 million with group operating income of $5.1 million. Excluding exchange rate variances, revenue and operating income were up about 18% and 63% respectively as compared to the second quarter of 2013. These significant year-over-year increases were primarily driven by strong passenger volumes at Brewster’s attractions. Passenger counts were up by more than 20% at the Banff Gondola, the Columbia Icefield Glacier Adventure and the Banff Lake Cruise. Our new Glacier Skywalk attraction, which opened on May 1, also surpassed expectations with a total guest count of more than 80,000 during its first two months of operation. The Skywalk continues to generate great interest from the Travel industry and media. On July 8, the Skywalk received national television exposure across Canada when it was featured as the starting point for Season 2 of The Amazing Race Canada. Our Columbia Icefield Glacier Adventure tour was also featured on the show, which is the most-watched Canadian television series on record. The Skywalk is truly a world-class attraction and we are thrilled with how well it’s performing. The strong results at Brewster more than offset some weather-related issues that impacted results at Alaska Denali Travel and Glacier Park. Significant rainfall in Denali National Park caused [depletion] (ph) well past our Denali Backcountry Lodge to overflow its banks. As a result of the flooding, we were forced to the evacuate guests and close the lodge from June 26 through July 4. Fortunately, the closure lasted only nine days and there was minimal property damage. The Alaska Denali team did a fantastic job to ensure a displaced guest for safe and well taken care of. And I’d like to thank them for that and also for their great efforts to get the large backup in running so quickly. Winter ski season got off to a slower than expected start, due to the heavy snowfall that delayed the opening of the popular Going-to-the-Sun Road. The road had been scheduled to open on June 21, but did not open until July 2. We typically see a surge in park visitation once the road opens and that was definitely the case again this year. We’re seeing strong numbers at all of our Glacier Park properties, including the newly acquired properties in West Glacier. We completed the acquisition of West Glacier Motel & Cabins, the Apgar Village Lodge and related assets on July 1. These properties in the Glacier National Park area complement our existing assets by adding scale and additional location options that enhance our guest enjoyment of this majestic area, and reinforce our position as the gateway to Glacier. With this acquisition we now own properties at both end the main entrances to the park along Going-to-the-Sun Road, the West Glacier Motel & Cabins on the west side and St. Mary Lodge on the East side. Brewster and Glacier Park teams continue do a great job in effectively managing and growing their respective businesses. Further in Dave McKenna and Cindy Ognjanov see to it that we’re providing a memorable experience for all of our guests while delivering strong results for our shareholders. I greatly appreciate the creativity and dedication of all of our Travel & Recreation associates in driving excellent results. At this point, I’ll turn the call over to Ellen Ingersoll, our Chief Financial Officer for a more detailed review of our financial results. And then finally completion of Ellen’s comments I will have some concluding remarks and then open the call for your questions. Ellen?
Ellen M. Ingersoll: Thanks Paul. As I cover our second quarter results you may want to refer to tables 1, 2 in the Business Unit Highlights section of our earnings press release. Our second quarter income before other items was $0.44 per share, which was at the high end of our prior guidance range of $0.34 to $0.44, and that more than 25% from 2013 income before other items at $0.35 per share. By definition, income before other items excludes restructuring charges of $0.04 per share, impairment charges of $0.03 per share and $0.02 per share related to favorable tax matters in the 2014 quarter. The reduction in impairment changes primarily relates to our decision to wind down registration services that are currently provided by GES within the EMEA regions and includes severance and asset write-offs. GES revenue and segment operating income for the quarter were $256.4 million and $14.1 million respectively. As Paul discussed earlier these results exceeded in the 2013 quarter, driven by growth in both the Marketing & Events Group as well as the Travel & Recreation Group. Paul mentioned a few items that affected year-over-year results during the quarter and I would like to give a little more color on those items. Show rotation at GES negatively impacted second quarter revenues by about $12 million versus 2013. For the third quarter we expect positive share rotation revenue of about $45 million and the fourth quarter is expected to be about $10 million negative. For the full year we expect currency translation to have a favorable impact on Marketing & Events Group revenue of about $8 million, and an unfavorable impact on Travel & Recreation Group revenue of about $5 million. Glacier Skywalk attraction added approximately $1.5 million of revenue to the Travel & Recreation Group and an operating margin of more than 50% during the second quarter. For the full year we expect revenue from the Skywalk to be in the range of $4.5 million to $5 million to $3 million to $3.5 million being generated during the third quarter. The temporary closure of the Denali Backcountry Lodge due to flooding resulted in a revenue loss of about $220,000, during the second quarter and about $170,000 during the third quarter. Now I’ll cover guidance for the third quarter and full year 2014, which to be found in the earnings press release and reflects our best estimates based on information available at this time. This reflects strong growth from both business groups. Marketing & Events Group third quarter revenue is expected to increase in the range of $60 million to $70 million, with an operating income increase in a range of $8 million to $11 million. This growth is expected to be driven by a combination of positive show rotation, new business plans and same-show growth. Travel & Recreation Group third revenue is expected to increase in a range of $4 million to $9 million with an operating income increase in the range of $2 million to $4 million. The July 1 acquisition, hospitality assets in West Glacier is expected to add nearly $5 million in revenue to the third quarter. This acquisition along with the revenue contribution at the Glacier Skywalk and organic growth at Brewster and Glacier Park is expected to be partially offset by unfavorable currency translation of about $3 million in revenue and lower revenue for the Alaska Denali Travel. For the full year Marketing & Events Group revenue is expected to increase at a high-single to low-double-digit rate from 2013, primarily as a result of positive show rotation of approximately $60 million same-show growth and new business wins. U.S. base same-show revenue is expected to increase at a low to mid-single digit rate. Marketing & Events Group segment operating margins are expected to reach approximately 4/%, driven primarily by higher revenue on continued and our continued focus on margin improvement initiative. Travel & Recreation Group full year revenue is expected to increase at a mid to high single-digit rate from $108.4 million in 2013. This growth is expected to be driven by the West Glacier acquisition, the Glacier Skywalk attraction and continued organic growth, partially offset by unfavorable exchange rate assumptions. Travel & Recreation Group operating margins are expected to approximate 22%, up from 20.1% in 2013. Our productivity’s expense is expected to approximate $9 million to $9.5 million. Now, I’ll cover some balance sheet and cash flow items before turning it back over to Paul. Our balance sheet remains strong. At June 30, 2014, cash and cash equivalents totaled $40.2 million. Our total debt was $11.4 million, which consisted of $10 million in borrowing on our revolving credit facility and $1.4 million of capital lease obligation and our debt-to-capital ratio of 3.2%. We repurchased approximately 450,000 shares during the second quarter at an aggregate cost of $10.6 million. Cash flow from operations was an inflow of $3 million for the 2014 second quarter as compared to an outflow of $2.2 million in the 2013 quarter, primarily reflecting improved operating results and changes in working capital. And our full year cash flow from operations is expected to be between $60million and $65 million. Capital expenditures were $7.9 million for the 2014 second quarter as compared to $7.4 million in the 2013 quarter. And we expect full year capital expenditures of approximately $30 million to $35 million. Depreciation and amortization expense was $7.1 million for the 2014 second quarter, which is consistent with the 2013 quarter. And full year depreciation and amortization expense is expected to be between $28 million and $30 million. Back to you, Paul.
Paul B. Dykstra: Thanks, Ellen. In summary, we are pleased with our results for the first half of 2014 and are focused on delivering the strong full year growth that Ellen just discussed. And as usual we had some work to do in terms of securing unsolved business over the remainder of the year. But we had good sales pipelines, great products and services and talent that people that are working hard to close deals providing great customer experience and drive operational efficiency. Our third quarter results will be much stronger than last year as we’ll benefit from significant positive show rotation at GES, as well as our unrelenting focus on margin improvements. We are also quite optimistic about the prospects for our Travel & Recreation business this peak tourism season given the strong results thus for. Additionally, we continue to execute against our strategic growth plan, which includes organic growth opportunities as well as acquisitions for both business units. For GES, we are pursuing growth in adjacent services and geographies that are for strong operating margins and growth potential. As I’ve discussed last quarter, audio visual services is one of those adjacent services and our new in-house AV team is seeing good traction. We also have a very active acquisition pipeline that fits our strategic vision of positioning GES as a full service partner, but a global live events market. For the Travel & Recreation group, we continue to execute against our Refresh, Build, Buy initiative to maximize the revenue and profit generation of our existing assets and add scale to this high margin business. We expect to begin some remodeling at the Banff International Hotel later this year. and we continue to work through plans for the redesign of the upper terminal of the Banff Gondola. Additionally, we continue to pursue the acquisition of high margin attractions and hospitality assets located in iconic national destinations with a focus on knowledge that will provide additional scale in our current markets. We have a very strong balance sheet with a sizable cash position and very little debt enables us to invest lively in the business and to return capital to our shareholders to a consistent dividend each quarter. We remain dedicated to improving our business and driving shareholder value in everything that we do. With that, let’s open up the call for your questions. Jane, if you could open up the question line, please.
Operator: Thank you. (Operator Instructions) Our first question comes from Steve Altebrando with Sidoti. You may ask your question.
Stephen Altebrando - Sidoti & Company, LLC: Hi, good morning, thank you. I just wanted to hit on the operating margin for the marketing event segment, just looking at the third quarter guidance that you provided, it looks like you need a pretty solid fourth quarter or what I think is negative show rotations. Is there something specific going on in fourth quarter that’s unusual?
Paul Dykstra: Steve, do you want to handle that one.
Steven W. Moster: Yes sure. Hi, Steve, good morning.
Stephen Altebrando - Sidoti & Company, LLC: Good morning.
Steven W. Moster: Our second quarter revenue is actually pretty strong, primarily driven by wins that we’ve had across all of our business. So new services, as well. So we’ve currently have the Commonwealth Games going on in the UK in the third quarter, a (indiscernible) seminar and also the Solar Power AV business. So there isn’t actually some new growth, as well some same-show growth that’s driving the revenue in the third quarter. And if you look at that compared to our OI in 2013 the same quarter, we were actually last year, we had the sale of our New Jersey facility which impacted our OI. That was part of our service delivery network and so that’s the reason for the comparison there.
Stephen Altebrando - Sidoti & Company, LLC: Okay. But in terms of, I guess the question really comes down to how confident you are in achieving the 4% operating target for the year given what you think you’re going to do for the first three quarters of the year?
Paul B. Dykstra: Yes, I think we’re still confident, it’s a stretch goal for us Steve, as we’ve said all along, I mean in the fourth quarter we definitely had some work to do, we – last year Harry Potter was in trend, so we have that this year in the fourth quarter. We’re working very hard and doing everything possible to achieve those goals.
Stephen Altebrando - Sidoti & Company, LLC: Okay, that’s helpful. And then looks like the Travel & Rec seems to be exceeding your expectations, is that predominantly Skywalk driven or a combination of lodging or attractions?
Paul B. Dykstra: I think it’s all of the above. The Skywalk we’re very pleased with, as I mentioned in my comments we had 80,000 visitors which exceeded our expectations for May and June, which are slower months as we move into July and August. We’re up 20% in all of our attractions which we’re very excited about. From all indications it’s going to be a strong tourism season in Banff and we’re seeing good visitor shift at Glacier Park. So, I think we’re still feeling very, very good about the Travel & Rec business, very excited about this. The Skywalk it’s everything we thought it was going to be, we continue to get into terrific public relations and our management team and employees are doing a fantastic job servicing our guests.
Stephen Altebrando - Sidoti & Company, LLC: Okay. And then just lastly, how do you guys think about the ramp of the Skywalk? Is it something along the lines of business probably elevated in the first year, because it’s something new or is it – do you expect revenue trends to accelerate going forward as the word gets out?
Paul B. Dykstra: We expect to grow this business. We have to be a little cautious in marketing to certain groups that are building new things into the right itineraries 12 months to 18 months out. Now that we have success in this first season, we think it’s going to be – we have achieved the market and have groups included in the itinerary. I think the word-of-mouth and the public relations we’re getting is going to continue to drive traffic off the Icefields Parkway, which is another key goal of ours. And in generally, we’re just seeing the level of the Lake Louise in the area, which is helping our Icefields operation as well, Steve.
Stephen Altebrando - Sidoti & Company, LLC: Okay. That’s helpful. Thanks so much.
Paul B. Dykstra: Thanks, Steve.
Operator: Our next question comes from John Healy with Northcoast Research. You may ask your question.
John Healy – Northcoast Research: Thank you. I want to ask a little bit about Marketing & Events margins as we head into next year. I know show rotation. I don’t think it’s going to be a too much of a front to you guys next year, but I was hoping to get some qualitative thoughts in terms of how you think about margins for that segment relative to the stretch goal of 4% this year. It will be difficult to sustain those margins and would you think that we’d be near them or slightly above them? Just any qualitative thoughts you can give us regarding what they expect for margins next year.
Paul B. Dykstra: Sure. Good morning, John. We expect, as we’ve said, negative show rotation, which will give us a pretty good headwind. It will be more like 2013. So we do not expect to be able to achieve 4% margins next year. We feel that we will have a decrease mostly because of the revenue headwinds. At the same time, we continue to do a lot of things to become more efficient, continue drive our initiatives to improve our direct margins and really impossible to manage our overhead in that space. In 2016, we enjoy significant positive show rotation. So we’re trying to move back to the 5% range by 2016. But 2015 will definitely present some challenges from a show rotation standpoint.
John Healy – Northcoast Research: Is it reasonable to think that the margins – given what you’ve done over 2013 and 2014. I know you highlighted the show rotation to be similar to the 2013. I think that was a negative 60. In realistic I think that the margins can be better than we saw in 2013 now.
Paul B. Dykstra: Yes, yes. We definitely would expect that.
John Healy – Northcoast Research: Okay. And then I wanted to get some more thoughts, just in terms of, if you can give us some color in terms of the customer response to the entrance into the audio visual market, and how you feel that business can ramp. Can you talk about how contracts are won and lost in that business? And kind of may be like from a stair-step function how we might see that business kind of build itself over the next two or three years?
Paul B. Dykstra: Yes, I’ll make some comments and then I’ll ask Steve Moster to add to my comments too. We’re seeing very good customer response. We’ve got some successful execution under our belt, which then the more of that happens I think the more momentum that we’re going to build. The pipelines are building nicely for 2015, and for 2016, as we look at follow our existing general service contract clients. And when their contracts might come up for bid on the AV side, we’re seeing, I think, $25 million pipeline already for 2015 and it’s over $40 million for 2016. So the pipelines were ramping fast, we’re seeing continued good response from our clients and we’ll kind of move this needle to AV between 5% to 10% of overall GES revenues. Steve may be you can kind of comment on and add a little bit more color to the client reaction.
Steven W. Moster: Yes thanks Paul. John it’s been very well received by our clients crossed the live events industry. And this represents really big opportunity for us in the U.S. alone. We believe that the AV market exceeds $1 billion. As Paul just mentioned we are building our pipeline for 2015 and 2016 which is very strong, and we’ll continue to focus on building that out.
John Healy – Northcoast Research: Great. And just a follow-up on that, the comment you made $25 million in the pipe for 2015 and then I think you said $40 million for 2016, if I heard you right? How do we think about the CapEx that’s required to be in that business, can you talk to how much step up or step down we might have to see there? And kind of what is the useful life of this technology that you have to invest in?
Steven W. Moster: Yes I mean, right now we’re doing is to make CapEx life fashion and that’s there is providers that we can rent equipment from. So we had to invest very little as far as CapEx. Overtime and as you ramp up in this business it does make sense to invest in some of your own equipment. Things that will high turns, and then continue to outsource for things that are maybe higher end or lower turn tax business. So right now, we are not seeing huge CapEx, I think as we get bigger there will be some CapEx that we’ll be talking about – Steve would you add anything to that?
Paul B. Dykstra: Yes. That is our – right now asset life, when we get to scale then we will need capital in order to fuel the business.
Steven W. Moster: We’ll make at that point John, because I think you can gradually push margins a little bit north by managing the right balance between ownership and rental.
John Healy – Northcoast Research: And how this equipment need to be refresh just like a five year old life out of this stuff or seven years, kind of how do we think about it?
Paul B. Dykstra: I would probably again this more in the three to five.
Steven W. Moster: It really depends on the type of equipment. I mean as you go from screens, which can last quite a while to some hi-tech LED screens which have a shorter life, it really varies I think Paul is accurate in the three to five years.
John Healy – Northcoast Research: Perfect, thank you, guys.
Paul B. Dykstra: Okay, John.
Operator: Our next question comes from Luisa Lau with Singular Research. Your line is open.
Luisa Lau – Singular Research: Good morning, yes. The first question is for Ellen, if you wouldn’t mind running through the impact of the weather related issues again on the Travel & Rec, for the second and third quarters?
Ellen M. Ingersoll: Sure. It was related to the Denali Backcountry Lodge. The revenue loss is about $220,000 for the second quarter and about $170,000 for the third quarter.
Luisa Lau – Singular Research: Okay, what about the Glacier Park road closures. Is that a nominal amount?
Ellen M. Ingersoll: Glacier Park we haven’t quantify I would say, much smaller.
Paul B. Dykstra: Nominal.
Luisa Lau – Singular Research: Okay, in second and third quarter.
Ellen M. Ingersoll: Glacier Park which would be second quarter.
Paul B. Dykstra: Yeah, no impact…
Ellen M. Ingersoll: It was due to the – the roads opened on July 2.
Luisa Lau – Singular Research: Okay, got it, okay, great. And the second question really is historically the company has had a very low amount of debt, I just want to perhaps hear a bit about the company’s willingness to perhaps pick on some more debt in the event of some actionable type strategic growth initiatives over the next year or two. I mean could you talk a little bit about the flexibility there, the willingness there and whether or not there are any actionable potential ideas that you may see, over the next year or two?
Paul B. Dykstra: Sure good question Luisa. At this point we haven’t don’t this too, when we went through the strategic review, this is one of the areas that we looked at. We do believe that we have will be taking on debt especially as we look at some of the acquisitions that we are doing. We do believe that debts prudent and manageable. Ellen, would you add to that?
Ellen M. Ingersoll: Sure. And, obviously, how much and what kind of debt we take on depend on the acquisitions, but through the strategic review we are kind of looking at a 30% debt, 70% equity going through several scenarios. But as I said, it depends on what the acquisitions are and what type of long-term debt we’ll be looking at.
Luisa Lau – Singular Research: Are you open – I mean, is there like a focus more on either of the Marketing & Events side or Travel & Rec at this point or you’re really just exploring both with the same zeal?
Ellen M. Ingersoll: We would be on the acquisition side looking at both and then the debt would be wrapped up. It’d be total company debt.
Luisa Lau – Singular Research: Right, okay. I don’t know. The question is basically like is there potential like graspable ideas that you see in the closer term and M&E or the Travel & Rec?
Paul B. Dykstra: We have a very robust pipeline right now and we’d cover both businesses.
Luisa Lau – Singular Research: Okay. Thank you.
Paul B. Dykstra: Thank you, Luisa.
Operator: Our next question comes from Barry Haimes with Sage Asset Management. Your line is open.
Barry Haimes – Sage Asset Management: Thank you. You may have said it and I missed it, but could you just repeat the CapEx guidance of the full year? And then secondly, could you remind us how much you have left under the share authorization and whether you have bought some stock in July so far? Thank you.
Paul B. Dykstra: Sure. I’ll have Ellen handle. Ellen?
Ellen M. Ingersoll: Sure. Full year CapEx is expected to be about $30 million to $35 million. We have not purchased anything in July. We’re in a quiet period. So really the end of June was our cut off for share repurchases for this quarter.
Barry Haimes – Sage Asset Management: And then, how much is remaining under the authorization?
Ellen M. Ingersoll: We’ve purchased about 450,000. So we have about 550, 575 left.
Barry Haimes – Sage Asset Management: Thank you.
Ellen M. Ingersoll: Sure.
Paul B. Dykstra: Thanks, Barry.
Operator: (Operator Instructions) I’m showing no further questions on the phone lines at this time.
Paul B. Dykstra: Okay. Thank you, Jane, and thanks to everybody on the call today. On behalf of the entire Viad team, I want to thank you for your participation and we look forward to talking to you again at the completion of the current quarter. Have a great day. Thanks, everybody.
Operator: That does conclude today’s conference. Thank you for participating. You may disconnect at this time.